Patricia Olalla: Good morning. And welcome everyone to BBVA's First Quarter Results Presentation. Following yesterday's massive power shortage in Spain, the situation in Madrid is now almost fully restored, so we expect to be able to conduct today's earnings call normally. As usual, I'm joined today by our CEO, Onur Genc and Luisa Gómez Bravo, the group's CFO. After their review of the quarterly figures, we will open the line to receive your questions. Let me remind you that, in addition to asking questions live through the conference call operator, you also have the option to submit your questions in writing via the Ask a Question section located just below the video you are watching. This option is available in case you experience any issues with the phone line. Any questions submitted through this channel will be read during the Q&A session and answered accordingly. We apologize for any inconvenience caused by this situation and sincerely thank you very much for your understanding and cooperation. Now I will turn the call over to Onur.
Onur Genc : Thank you, Patricia. Good morning to everyone and welcome and thank you for joining BBVA's first quarter 2025 earnings webcast. The ones who are connecting from Spain or the ones who have friends and family in Spain, I hope everyone is safe and after yesterday's blackout. Let's just jump into it, starting with slide number 3. In line with our strategic priorities of value creation and profitable growth, I would like to start the presentation today by highlighting the two financial metrics that best reflect these priorities, tangible value growth and profitability. On the left-hand side of the slide, you can see the strong evolution of tangible value per share plus dividends, which increased by 14.1% year-over-year and 3.3% in the quarter. In our view, very good figures despite the relatively high currency depreciations that we have experienced in the quarter. On the right-hand side, our profitability continues to improve. In the first quarter of 2025, we reached an outstanding return on tangible equity of 20.2% and the return on equity of 19.3%. These profitability metrics would most likely place us, others have not announced yet, but would most likely place us once again as the most profitable European bank among the 15 largest banks of the continent. Page number 4, on the left hand side, you can see our net attributable profit in the quarter reaching EUR 2,698 million, another very strong quarter. This represents, as you can see also on the page, a 23% increase compared to the same quarter last year and also 10.9% higher this number versus the previous quarter. These results are due to the repeated excellent performance in our view of our core business, as can be seen in the growth of our core revenues that I will be explaining in a second. This profit figure translates into earnings per share of EUR 0.45, a 24% increase year-over-year. And finally, and very importantly, regarding our CET1 fully loaded capital ratio on the right-hand side of the page, it's improved by an exceptional 21 basis points during the quarter, reaching 13.09% obviously well above our target range and regulatory requirements. Moving to page number 5, this page is a summary of the pages to follow, so I will not dwell too much on the page, but just a quick introduction to different highlights of the quarter. First, net interest income grew by 8.5% year-over-year, driven by very strong business activity, up a superb, in our view, 15.1% growth in activity. Second, net fees and commissions showed an excellent evolution, increasing by 19%. Third, our industry leading efficiency ratio, it continues to improve, reaching 38.2% this quarter. Fourth, asset quality, it remains solid and is performing better than expected, with a cost of risk at 130 basis points. Fifth, our robust capital position, as I just mentioned. And sixth, continued outstanding growth of our underlying business franchise, attracting a record 2.9 million new customers and reaching EUR 29 billion in sustainable business in the quarter. Slide number 6, as always, the summarized P&L of the quarter. You can find the year-over-year quarterly evolution in the second column from the left, in constant, and right next to it, in current terms, the third column from the left. Basically, the P&L continues its impressive evolution, thanks to the strong core revenue growth, with a year-over-year increase in gross income of 28% in constant and 13% in current euros, and maintaining positive jobs. On this one, regarding the banking tax in Spain, please note that last year, net attributable profit in the first quarter of 2024 had a EUR 285 million annual impact recorded in other income and expenses heading. This year, in the first quarter of 2025, we have booked an EUR 85 million charge in the income tax heading for the quarterly accrual of the new banking tax, because the structure of the tax has changed. So, it's only for the three months, EUR 85 million under the income tax line versus the EUR 285 million in the other income line of last year. The broader messages do not change, but as you compare the figures, the columns, please take into account this set of one-off impacts. Slide 7, as usual, let's look into the revenue breakdown. First, net interest income growth remains at very strong levels, despite declining rates in our core geographies, and NII growing by 8.5% year-over-year, and 1.7% quarter-over-quarter, again, supported by very robust activity growth. Second, net fees and commissions continued their excellent trajectory, 19% up versus the same quarter last year. This growth was mainly driven by our payments and asset management businesses, compared to the previous quarter, there was a 2.7% decline, but this is completely explained by the seasonal success fees that we record in the fourth quarter in Spain for asset management activity in Spain. Third, we have had another very strong quarter in net trading income, driven by solid performance in global markets unit, as many other banks have experienced. Also, as a result of all of this, gross income growing by an excellent 28% year-over-year, and 3.9% quarter-over-quarter. Moving to slide 8, let me now focus on activity and loan growth, which increased, again, very strong, 15.1% year-over-year at the group level. This is very encouraging for the coming quarters, especially, as I always say, this growth is delivered profitably. I mean, we measure this loan by loan on a marginal basis through our return on capital framework. So, the profitable growth and the increase in the activity will be helping us in the coming quarters. But in Spain, on the right-hand side of the page, you see the breakdown by the countries. Loan growth in Spain has continued to accelerate, reaching 6.6% year-over-year growth, a growth level unforeseen for quite a long time, actually. And within that, our key segments are performing really well. Consumer and credit cards, they grew by 7.5%, and aligned with our new strategic priority, lending to enterprises, it grew, better than average, by 8.5%. In Mexico, also, loan growth accelerated significantly, reaching 17.2% year-over-year growth. If you isolate for the FX effect, the currency impact, the growth is still a very strong 14% for Mexico. Consumer and credit cards, they grew by 15.3%, while lending to enterprises, again, a strategic priority for us, better than average, remarkable 25%. Page 9, looking forward, obviously, we live in some uncertain times, clearly uncertain times. But given the relatively low leverage levels in our footprint countries, we do believe in the potential of further credit growth without creating too much cost of risk in our core geographies. In the page, you see that. But for example, in Spain, after so many years of deleveraging, we are now less than the EU average in leverage. And given all the relatively positive macro factors for Spain, we expect the strong loan growth trend to continue. And in the case of Mexico, we discuss it from time to time, we see one of the lowest levels of leverage, even in the emerging markets landscape. And with increased bankarization, we do believe that the Mexican financial system is bound to grow healthily, in our view, going forward. Slide 10, you can see all that positive trend in activity in Spain and Mexico, how it translates into solid core revenue growth in the P&L, even in a declining rate environment. So looking at the charts in the middle, in Spain, NII, it grew by 1.2% year-over-year, despite a decline in the ECB depot rate from March 2024 to March 2025 of 150 basis points. In Mexico, NII, it rose by a strong 7.6% year-over-year, once again driven by the robust activity. Again, despite a decline in the central bank, Mexican Central Bank rate of 200 basis points in the last year. As you know, over the last two years, we have actively managed our balance sheet sensitivity to rates, both in Spain and Mexico, in the context of higher rates. We increased the size of our ALCO portfolio, and we extended the duration, and we are seeing the benefits of this. We sacrificed some margin, by the way, in the short term in that time, and we did that, but we were trying to protect our margin in the future, and again, you are seeing that in the figures. This strategy, combined with the solid growth in the business activity, makes us confident in the future NII evolution. Turning to fee evolution on the page, right-hand side, 6.8% year-over-year increase in Spain, 5.8% year-over-year increase in Mexico, mainly driven by asset management. So very good numbers there as well. Slide 11, left-hand side of the page, we have widened our positive jaws at the group level, driven by a strong performance in gross income. As we said, 28% increase year-over-year. Slower pace of growth in costs, 14%. It is also below the group's average inflation rate. As a result, on the right-hand side of the page, you can see our leading efficiency ratio, which has further improved to 38.2%, an improvement of 469 basis points versus last year. Slide 12, this page shows the positive evolution of our asset quality. Asset quality metrics, they are performing ahead of expectations, better than expectations. At the bottom left, you see the cost of risk. It stands at 130 basis points. This improvement is due to better than expected performance in most of the business units, but notable improvements in Mexico and Spain. And on the bottom right, both our NPL and coverage ratios are at their best levels for quite some time, standing at 2.9% for NPL and 82% for coverage. Slide 13, on capital, we have generated an exceptional 21 basis points CET1 in the quarter, bringing our CET1 ratio to 13.09%. And in the waterfall, you see it from left to right, our results, 68 basis points, then dividend accrual and AT1, deducting minus 37 basis points. Third, minus 30 basis points due to the RWA's growth. This figure reflects for yet another quarter our ability to reinvest part of our capital generation into profitable growth. It also includes the result of several risk transfer transactions that we did, which positively contributed 13 basis points to the ratio. So in line with our new strategic framework, which puts even more focus on value and capital creation, with potential uses of risk transfers, our RWA's in the quarter, they are growing much less than our activity. And you have in the page also a bucket of others, 20 basis points, which comprises, among others, the market-related impacts, which was relatively muted in the quarter, and the credit in OC, that accounting-wise, it neutralizes the deduction in the P&L bucket due to hyperinflationary accounting. Page 14, to show you how we continue growing our franchises through new customer acquisition. And I said it many times before, but we believe that the most healthy way to grow the balance sheet is by expanding our client franchise across all segments. In the first three months of 2025, we acquired a record 2.9 million new customers, 66% of them joined us through pure digital channels. I mean, populations and the company count in our markets, they don't grow at this pace, so maintaining such a strong rate of new customer acquisition, it requires a significant and ongoing effort. And thanks to that effort, our active customer base, it has grown from 56 million at the end of March 2020, to more than 78 million as of March 2025, an outstanding increase in our view over the past five years. Turning to slide 15, sustainability, another strategic priority for us, a key driver of our differential growth. We have set an ambitious goal to channel EUR 700 billion between 2025 and 2029, more than double the previous target of EUR 300 billion set for the 2018 and 2025 period, which we achieved one year ahead of schedule, as you know. And this higher, more ambitious objective will be targeted over a shorter time frame, five years instead of eight, so we are determined to push our business through sustainability as well, and we are creating very good numbers. The results are quite self-explanatory, a record sustainable finance figure in the first quarter. And now, for the business areas update, I turn it to Luisa. Luisa?
Luisa Bravo : Thank you very much, Onur, and good morning, everyone. On slide 17, starting with Spain, Spain delivered yet another impressive set of results, surpassing EUR 1 billion net profit in this first quarter of the year, thanks to a strong gross income increasing by more than 6% quarter-over-quarter. NII has performed remarkably well, growing by 1% quarter-over-quarter, despite the lower interest rate environment. This performance is driven by very sound loan growth, particularly in the most profitable segments, as Onur owners said, consumer enterprise lending, and a higher contribution also from ALCO portfolios. Loan growth accelerated during the quarter, reaching 6.6% year-over-year, driven by a nearly 20% increase in new loan origination compared to the same period last year. It was also a strong quarter for fees, which grew by 5% on a like-for-like basis with solid growth across all lines. The quarter-on-quarter decline was mainly due to the recognition of asset management success fees in the fourth quarter of last year. All-in-all, strong gross income growth both in the quarter and year-on-year. This, along with well-contained costs, has brought the efficiency ratio to an exceptional 32%. For its part, risk metrics continue to improve during the quarter, with a further decline in the NPL ratio and an increase in the coverage level, driven by the positive evolution of NPLs. Cost of risk declined to 30 basis points, better than expected. Looking ahead, and despite the more uncertain environment, we are maintaining, or slightly improving, our full year guidance for Spain. In this regard, we are expecting low to mid-single digit loan growth for the year, with a positive bias, considering the strong start of the year. We reaffirm our guidance for a slight decline in NII, even in a context of lower than anticipated rates. We remain confident in achieving low single-digit growth in fees, subject to market volatility. And finally, we are improving our guidance on cost of risk to around 35 basis points, supported by the solid start of the year. Now, turning to Mexico. Once again, Mexico delivered exceptional results, with net profit growing by nearly 8% year-over-year, driven by strong core revenue growth of 7.3% year-over-year. Net interest income continued to grow robustly, supported by increased lending activity growth. Credit demand remains remarkably strong, with solid growth across both retail, mainly driven by consumer and assuming lending, and commercial, where we continue to see healthy dynamics following a very strong fourth quarter, particularly in short-term lending. In addition, we are seeing an increasing contribution from our ALCO portfolio, which we expect to continue in the coming quarters, as rates continue to decline. Fees continue to grow at a healthy pace, increasing by nearly 6% year-over-year. In addition to strong credit card and payment fees, which represent over 50% of total fees in Mexico, we are seeing an increase in contribution from asset management and CIB-related fees. Overall, strong revenue growth has allowed us to maintain our efficiency ratio at an impressive 30%, despite higher expenses, mainly reflecting the carryover effect from salary reviews and headcount increases, particularly related to internalizations and IT profiles during 2024. We expect cost growth to gradually slow down over the course of the year, in line with our high single-digit growth for the year guidance. Finally, asset quality metrics are performing ahead of expectations. Impairments declined, driven by improved performance in retail portfolios, and the cost of risk decreased to 305 basis points in the quarter. All-in-all, after a very strong start of the year, we remain confident in our ability to continue delivering on our guidance for Mexico throughout the rest of the year. We reaffirm our guidance for loans growth at high single-digit and for NII to also grow at high single-digit, although below that of activity. Despite the expected economic slowdown and the potential impact of provisions from the IFRS 9 macro adjustments, we are maintaining our cost of risk guidance at 350 basis points, supported by the positive evolution of risk metrics at the start of the year. Going to slide 19, Turkey reported a net profit of EUR 158 million for the first quarter, representing a 10% increase compared to the previous year. Higher revenues and a lower impact from the hyperinflation adjustment more than offset the increase in impairments. As expected, net interest income increased, driven by a significant expansion in the Turkish lira customer spread, up 91 basis points during the quarter. This improvement was largely driven by a decline in Turkish lira deposit costs in a context of declining interest rates. Our positive sensitivity to lower rates in Turkey enables us to benefit from a faster downward repricing of our customer deposits. In addition, loan growth continued across both Turkish lira and foreign currency portfolios. We also see strong performance in fees, supported by payment services and higher contributions from asset management and insurance. On the asset quality front, the cost of risk continued to normalize, standing at 189 basis points in the first quarter, in line with our full year guidance. This reflects higher provisioning needs in the retail segment, consistent with the elevated interest rate environment. Looking ahead, in a context of temporary monetary tightening to anchor inflation expectations, we expect a progressive but more gradual improvement in the Turkish lira customer spread through 2025. As such, given slightly higher than initially anticipated inflation and interest rates by the year end, we now expect guaranteed BBVA's net profit to close somewhat below EUR 1 billion in 2025. And finally, let's turn to South America. South America continues to deliver a solid earnings contribution to the group, with net profit exceeding EUR 200 million in the first quarter. Solid results this quarter were supported by revenue growth, lower impairments, and a reduced impact from the hyperinflation adjustment in Argentina as the disinflation trend continues. Net interest income performed well, driven by loan growth across the most profitable segments and improving customer spreads in Peru and Argentina. Beyond NII, we also saw a positive contribution from fees and stronger net trading income. Additionally, this quarter we recorded significantly lower impairments in Peru and Colombia, refracting the improving asset quality trends that we had anticipated, supported by a more favorable economic environment, including lower interest rates, and some adjustments to our risk appetite in the most vulnerable portfolios. Overall, the cost of risk for the region stood at 230 basis points below our full year guidance. All-in-all, the outlook for the region is becoming more positive, supported by an improving economic environment. Now, back to Onur for the final remarks on the quarterly results.
Onur Genc : Thank you, Luisa. And lastly, the last page, page 21, the main takeaways. Let me not take the time by repeating the key messages that are already on the page. There are so many positive adjectives in the page, but in short, in very short language, we are quite happy, very happy with the performance in the quarter. We continue to focus on creating value, value for our stakeholders. As I just mentioned, we are quite optimistic going forward. Despite all the macro uncertainties, we are quite optimistic. I see very positive dynamics in our businesses, thanks to our diversified model with leading franchises in high-growth markets. As such, despite the uncertainty, we maintain our guidance of return on tangible equity of high teens, similar to levels of 2024 that we shared with you in the last quarterly call. We maintain that guidance, but it's an uncertain environment. We have to see how it evolves, obviously, in the coming weeks and months. And now, back to Patricia for the Q&A. Patricia?
Patricia Olalla : Thank you. Thank you very much, Onur. We are now ready to start with the Q&A. So, operator, first question, please.
Operator: [Operator Instructions] Our first question today comes from Antonio Reale, Bank of America.
Antonio Reale: Hi, good morning. It's Antonio from Bank of America. Just two questions for me, please. My first one is a follow-up on your guidance on Turkey. It's really around NII and cost of risk in the region. Now, we've seen the rate hike, I think, which was late in the quarter. So, I wonder, how would you expect the sequencing of NII to trend in Turkey and your expectations on cost of risk, which was slightly above your full year guidance, which seems to be suggesting, in general, for the region, a stronger second half versus the first half. So, if you can share a little bit more color on those two lines and the sequencing, that would be great. My second question is on Spain. We've seen strong activity levels in Q1. On loan growth, you're gaining market share and even on deposits, despite the usual Q1 seasonality, we've seen positive growth in deposit. Can you talk a bit more about how this has changed, if any, post-tariffs and your expectations for when you would expect to see a trough point in NII in Spain this year? Thank you.
Onur Genc : Perfect. Thank you, Antonio. Maybe I take Turkey and you take Spain, Luisa. On Turkey, as Luisa has mentioned also in her presentation, we're expecting somewhat lower than the EUR 1 billion that we guided you. But if you remember, in the first quarter's call, in the end of year quarterly call for end of January, was it? We did provide a guidance of EUR 1 billion, and we were very, very specific. I remember it very clearly. It's in the documentation as well, that this depends on three very important macro parameters. Those three parameters were inflation, interest rates, and also the currency level. The interest rates that we were planning or that we were foreseeing at that moment was 31%. Now, we do think it's going to be five, basically five percentage points higher at the end of the year, 36%, 36.5%. Inflation, at the time, we were expecting, we were foreseeing the inflation to be at 26.5%. Now, we are expecting the inflation number to be 31% at the end of the year. And then there is also the currency. We were expecting 30% devaluation, reaching Euro-Turkish lira, reaching 48 at the end of the year. And there might be some also higher, more devaluation that might be coming along, given all the developments in Turkey. So these three numbers drive the figure. 1% inflation more, I'll give you the sensitivity, so you can also do the math yourself, Antonio. The 1% inflation has an impact of EUR 15 to EUR 20 million in the bottom line profit for BBVA. So 1% inflation mainly due to hyperinflationary accounting. Also, it drives many other things indirectly. But EUR 15 million to EUR 20 million net profit impact. 1% more interest rate has EUR 25 million to EUR 30 million negative impact if it's a higher interest rate in the Turkish case. And devaluation, if you have 1% more devaluation, it's EUR 5 million to 6 EUR million. Again, it has many other indirect impacts. I'm giving you only the change in that respective independent parameters. Given all these numbers, that's why Luisa has mentioned that the number that we have guided you, EUR 1 billion, will most likely be. It depends on the macro parameters. Once again, it depends on these three parameters, but would be most likely slightly lower, somewhat lower than EUR 1 billion. But given this, we are also activating some levers. The cost lever obviously is something that we are working on. That's why we are saying it's going to be somewhat lower than EUR 1 billion. In short, how all of this will be affecting the bottom line, I gave you all the detailed sensitivities. You would see that it's still a very positive figure. It's going to be a growth versus last year. But there is a huge dependency, obviously, on the macro parameters. On Spain, Luisa?
Luisa Bravo : Yes. I would start by highlighting maybe perhaps the macroenvironment, as you were mentioning. Obviously, with the recent news, we expect a decreasing GDP global environment in general. But I would like to highlight that Spain, within the context of the tariffs, is one of the countries in Europe that is least affected because it is a services economy. It is driven by exports and services by tourism. It's been enjoying a strong job creation, wage increases, and that has led to actually quite robust growth in the market as a whole. And as I was saying, the tariffs in Spain will have less of an impact than in other geographies. And within that context, we do expect Spain to continue to be growing above the European Union average for this year and going into next year. And within this backdrop, we expect activity trends to be resilient. And we are not seeing in these activity trends, even today, changes in the pipelines that would indicate that we are not maintaining that guidance in terms of activity growth with that positive bias that we mentioned at the beginning of the call. So within that context, with regards to NII, I would highlight several things. The first one is that we have been, as you know, managing the sensitivity of NII to the interest rate environment. We ended last year with circa 55% -- sorry 5% NII sensitivity, and today that sensitivity is around 4%, so a slightly lower sensitivity to the rate environment. And in that context, we expect that to be gradually feeding through the NII line during these quarters. In addition, we have increased our ALCO book by EUR 5 billion this quarter, which will also be supportive of the NII, and leading to that confirming the guidance of a slight NII decline in the year, despite a rate outlook that today is slightly more negative or biased to the negative from our 2% terminal rate scenario that we were managing at the beginning of the year. So all-in-all, a gradual impact and decrease, a slight decrease in NII for the year, but again, supported by strong activity dynamics, even in the post-tariff world, and good management, I think, on the ALCO side.
Onur Genc : I'll just add two little data points regarding Spain. We always look into spread in our presentations and so on, which has been, and still is, a very critical metric, obviously. But as we have invested in this ALCO strategy that Luisa was talking about, we have to also start looking into NIM. And in the quarter, the NIM of Spain has gone up by 7 basis points. So we are seeing the benefit of what we have been doing already in the figures. Then regarding the volumes, Antonio, when you look into the market, we are gaining market share, but when you look into the market, the February numbers came out. The March numbers are not out yet from the supervisor. But the new loan production in the first two months of the year versus the last two months, the first two months of 2024, so year-over-year comparison of the two-month cumulative, it's up 10% in the market. And we have not seen any decline in that pace in March, in April, and so on. So the pipelines are quite strong, so the activity levels continue to be strong, independent of all the uncertainties surrounding the world.
Operator: The next question comes from Maksym Mishyn from JB Capital.
Maksym Mishyn: Hi, good morning. Thanks for the presentation and taking our questions. I have two on Mexico and one on the special tax. So on Mexico, I was just wondering what's the reason you are not improving the guidance for loan book growth, given the 17% increase in the first quarter, and then was there any specific reason for the cost of risk to be lower in the first quarter than what you're guiding for the full year? And then on the special tax, I was just wondering if you apply any deduction related to the 25% threshold of net taxes paid in Spain on the special tax calculation. Thank you.
Onur Genc : Perfect. Luisa, Maybe we take the tax topic. On Mexico, Max, the two questions, the loan book growth, why aren't you revising our guidance? Because we are in this uncertain world that was triggered by this tariff discussions and so on, and Mexico is obviously at the core of it. As you do know, relatively speaking, if the tariffs stay as is, Mexico, relatively speaking, will be benefiting from this. But there is too much uncertainty. And we do see that in the growth of the loan book. The 17% growth that you have seen in the first quarter is mainly short-term loans. We have seen some decline in the long-term part of the loan growth. As a result, we have to be cautious and we have to be careful. In a normal environment, if I had seen this 17% growth versus our high single-digit guidance that we have for the loan growth for the year for Mexico, in a normal environment, we would have upgraded our guidance. But we need to be cautious and we need to see how things pan out in the coming weeks and months before we can certainly say that it will be a higher figure. So we have some positive dynamics. The pipelines are quite strong. The April numbers are quite strong. But let's be cautious and let's see how things turn out. Then on cost of risk, the underlying fundamentals are quite strong and we are not, again, upgrading the guidance for the same reason. We have to see how things pan out in the coming weeks and months. We have to see the impact of all these tariff discussions in the U.S., which is going to be reflected also in the economic activity of Mexico. We don't see a very clear direct impact from the tariffs. But if U.S. slows down, it all the time obviously hurts Mexico. So we have to see all those dynamics coming out. I will repeat what I say for both. We would have upgraded our guidance in a normal environment, but we have to see how all this uncertainty come out before we definitely change the guidance. On the tax, Luisa?
Luisa Bravo : It's a very short answer, yes. We are applying the deductions that are established in the law that was approved and came into effect at the beginning of January.
Operator: The next question comes from Marta Sanchez Romero from Citi.
Marta Romero: Thank you very much. My first question is on capital optimization. So thank you, Onur. You've said 13 bps in the quarter. How much do you expect to generate going forward and what kind of impact on the P&L we should expect from that? And then my second question is on the cost of deposits in Spain and Mexico. We've seen a very good performance in Spain. So you've managed to bring it down to 66 bps in the quarter. Where do you see it going forward? And in Mexico, we've seen a bit of something different. So the cost of deposits actually increased despite lower rates. It's true that your loan to deposit ratio has improved as well to 1.03. So can you explain what to expect there and the balance of loan growth and deposit growth? Thank you.
Onur Genc : Thank you, Marta. On the capital topic, the architect is Luisa. So Luisa, do you want to take it? It's going to be an objective for you for the year as well so, yes.
Luisa Bravo : Yes, I realize that. Yes. So no, I mean, I think that definitely this is, as I mentioned, I think before, an ongoing dynamic and ongoing process. We will be obviously doing more SRTs going forward. It's difficult to pinpoint a specific number because these deals take quite a lot of time to come to market. They need to be reviewed by the regulator. But I would say that definitely there's going to be a good pace of SRT contributions on a quarter-on-quarter basis throughout the year.
Onur Genc : Very good. Regarding the cost of deposits, you asked for the 66. It obviously depends on the ECB rate profile. Marta, you quoted very, very correctly for both cases. But as I said, we should focus more a bit on NIM going forward in both cases, in both Spain and Mexico. And in the context of NIM, we see a slight decline in the NIM in the coming quarters, but a very slight decline. Whereas in the customer spread, you would see the number coming down. The cost of deposits will be coming down along with that as well. But the spread, to me, is less relevant in the coming quarters. It's more the NIM. And what I can tell you is like two, three basis points in the coming every quarter, but not much more than that. So the NIM number is a very positive figure. Regarding Mexico, again, you quoted very correctly in your question. We did take in some institutional, large corporate and public sector deposits in the quarter. That's why the growth in the deposit is very robust. But that obviously comes with a higher cost of deposit, which has been then increasing or influencing the figure that you have seen, the cost of deposits going up to 268. Once again, the key number to look into is NIM. And in the case of Mexico, in the quarter, NIM has increased, I repeat, increased by six basis points. And going forward, we do expect this NIM levels to remain more or less constant, more or less constant. These ALCO strategies that we have been talking to you about in the past few years, obviously is helping in this current context.
Operator: The next question comes from Francisco Riquel from Alantra.
Francisco Riquel: Yes, thank you. So my first question is a follow up on a previous question, is the loan growth in Spain, which has been accelerating, meaning that you are widening market share gains that you have, you were reporting in previous quarters. So I wonder if you can comment on what is the profitability of the new lending given the tough competition in the sector in Spain? I also see the quarter-on-quarter growth in loans is mostly geared towards CIB and public sector, which are typically with lower margins. So overall is the profitability of the new lending in Spain. And then also in Spain, the costs are flat year-on-year with lower admin costs. So you can explain what are you changing here to reduce the cost base, and if you can update your guidance for the costs for the year. Thank you.
Onur Genc : Okay, so very quickly on both questions, on the profitability of the new lending, as we discussed many times before, we have this loan by loan, and I repeat, loan by loan profitability framework. So every single loan has to pass a certain threshold of return on capital. In that context, what you see is, as you said, the 10% growth in corporate and CIB, but you are also seeing, not sure, 10% in midsize companies, midsize companies also, which comes with very high ROIC. But independent of the segment, those 10% they have to deliver the cost of equity. If they don't, they cannot be admitted. We are very strict on this. We have a very clear micro capital planning framework around this. Even I, I personally can see every single loan that I granted in any part of the world, and what is the respective ROCE, return on capital that comes with it. It's all profitable. That's why you also see in Spain, the mortgage, the growth is 1.7%. And the quarter-over-quarter is I think 0.3%. We are not growing in mortgage at the moment, because the ROCE, the return on capital for those loans, in our view, are less than justified. It doesn't deliver the cost of equity. But in all the other areas, you would see a very high return on capital, and that return on capital, if it's not there, we would not be giving that loan in any case. Then costs in Spain, there was a relatively small, but one off in those numbers. In the general, there's like EUR 16 million, if I'm not mistaken, related to VATs and so on. If you add back that EUR 16 million, the number will be around 2%. 2% growth is the quarterly growth number, which is what we have guided you already. So the real number or the without the one off number is exactly in line with what we have been telling you.
Operator: The next question comes from Ignacio Ulargui from BNP Paribas.
Ignacio Ulargui: Hi, and thanks for the presentation and for taking my questions. I have just one question. I'm trying to get a bit of a sense of the corporate loan book growth that you see in Mexico, the other commercial and SME performance. If you could give us a bit of a sense of what is that growth coming, if it's more CapEx or if it's OpEx, if it's working capital or more longer term lending, just to get a bit of a sense of what is driving the growth there. Thank you.
Onur Genc : There is obviously some long term natural growth in that as well. But as I mentioned previously, it's mainly as compared to before, the profile is changing and the profile is much more short term working capital now. This is basically upfronting the tariff discussion. Many of our clients, basically, they have been working really hard, building up inventory and sending that inventory. The working capital needs in Mexico, they have gone up and as a result, the short term lending has gone up. So it's mostly short term lending.
Operator: The next question comes from Benjamin Toms from RBC.
Benjamin Toms: Good morning, both. And thank you for taking my questions. Firstly, just given the ongoing volatility from global trade wars, can you just talk a little bit about how hard you have to stress your financial plan in order for you to not achieve a higher teen ROTE over the next couple of years? And then secondly, on capital, it intends to trend higher relative to the 11.5% to 12% target range. Can you just provide us with the latest expected capital impact from Sabadell transaction? And can you just reconfirm for us there's no intention in the short term to increase your capital target range? Thank you.
Onur Genc : Very good. On the first question, I hope I got it. But you're asking in this current context, what do we do with the goals and so on? We have guided in the last quarterly call that our mid to long term goal in the new strategic plan 2025-2029 strategic plan is to deliver mid-teens tangible book value per share plus dividends growth, mid-teens. As it stands now, it's too early to tell how all this will be panning out once again. But we stick with that guidance. We are already delivering the 14% this quarter, independent of the fact that there was a huge currency devaluation, especially in Turkey, and there was a currency impact in that number. So we stick by that number. As long as we deliver as we have been delivering today in the last quarter, nothing changes. Regarding the capital, the two topics, the only numbers that we can provide you is what was made public in the F4, the SEC reporting. You would see that last year, when we started the deal a year ago, it was 30 basis points, the impact. Then we updated that number to 38. And the latest number that you would see there is 51. All this change is because of the dividends that we pay. Because when we pay our dividends, based on the transaction detail, we also reserve a piece of that dividend to be paid to Sabadell shareholders when we join forces. And that dividend impact is the key reason. The 30 has become now 51 basis points in the latest public disclosure. When the numbers are updated just before the transaction, obviously, we will give you more details on the final figures. But the latest public figure, as I mentioned, is 51. Obviously, this is 100% takeover. If it's 50% takeover, then the number changes a bit. It goes up to 60, because there are some minority inefficiencies in that process. But again, we will update you on these figures once we get to the transaction, the acceptation period stage. You were asking about the capital requirement. Are we going to be increasing our capital requirement? The answer is no. We have said it many times before, rather than looking at the absolute figure, in our view, we should look into the difference between the requirement and our target. We have a target; the upper end of our target is 12%. Our requirement, regulatory requirement is 9.13%. The difference is 287 basis points. So we have a buffer. In our management target, we have a buffer of 287 basis points with the latest requirement that we have from the regulators. What is that same number, 287 basis points? What is that same number for the rest of the European banking sector? Our peer group is the largest 15 European banks. The EU banks in that group, they are 10. The average of that 10 is 219 basis points. So when you look into the absolute figure, you would see other banks with potentially higher requirements and potentially higher management references, but their requirement is much higher. So in this gap, we have a very nice buffer in our view. As such, we will maintain our 12% guidance, 12% target.
Operator: Our next question comes from Carlos Peixoto from CaixaBank.
Carlos Peixoto: Hello, good morning. A couple of questions from my side as well. The first one being on Spain. So basically, you have a fee income going up by 7% this year. However, you're sticking to a low single digit growth guidance for the year. I was wondering here, is this just being conservative or whether there is a rationale for this growth in fees to slow down? And a bit the same rationale on the cost of risk. So you have a 45 basis points guidance for the full year, 30 basis points in the first Q. Is this because you're expecting the inputs in macro updates or something like that to drive a bit further the cost of risk or it's more of a conservative stance? I'm just trying to understand the rationale there. And then a second question on Turkey. Just a clarification, actually. You mentioned now the net profit should be below $1 billion, but are you maintaining the 200 basis points cost of risk indication for the unit? Thank you.
Onur Genc : Thank you, Carlos. On the Spanish guidance, Luisa?
Luisa Bravo : Well, with regards to the fee income, I think we do maintain the low single digit growth, and especially I think in this context, as you know, about 40% of our fees in Spain come from asset management. Asset management has been growing significantly year-on-year, but we do see that obviously the market has an impact also potentially on growth going forward. And that's why we feel comfortable in maintaining those single digit growth fee guidance for the year, again, subject to market volatility. The underlying dynamics on the fees, as you were mentioning, are quite positive, aside from the asset management, also on the banking services, payments, and insurance particularly. I would highlight that the insurance fees are also growing quite nicely, but I think the guidance captures all of that positive growth going forward. And with regards to the cost of risk number, we are guiding for a lower cost of risk number this year. Our cost of risk guidance at the beginning of the year, you may remember, was at or slightly below 38 basis points. The underlying dynamics of the quarter have come in significantly stronger than what we were anticipating, and I think that has allowed us that even despite the uncertainty in general, we feel comfortable in lowering the guidance of cost of risk to around 35 basis points in Spain for the year.
Onur Genc : And then regarding Turkey, Carlos, I just realized that I didn't answer one of the previous questions also on this. So the cost of risk in the quarter was 189 basis points in Turkey. Our guidance was actually 180 basis points. So the guidance that we provided in the last quarter was 180. It's not that different from our guidance. We stick to our guidance. But as I just mentioned, Turkey, the macro parameters, they have moved and they might move even more. Even the profit figure that we are guiding today, I gave you, that's why the full sensitivity on the independent variables that drive that number. So we have to see how things again also develop in Turkey. As it stands, we stick with our guidance of 180 basis points.
Operator: The next question comes from Sophie Peterson from J.P. Morgan.
Sophie Peterson: Yes, hi. Thanks for taking my question. So my first question would be, we've seen quite a lot of FX volatility in the recent months. Can you just remind us of how much hedging you have done both on the capital side, but also on the P&L side, especially of Mexico and Turkey? And then my second question would be, we have seen a quite strong performance, once again, in rest of business data with a reasonably big beat versus consensus estimate. Could you give us a little bit more detail around the rest of businesses? Like are we going to get some additional details on Italy soon? And how should we think about this market? Thank you.
Onur Genc : Very good. Thank you, Sophie. On the hedging, as you know, we do two sets of hedges by currency, but one of them is to protect against capital, to protect against currency for capital. We hedge excess capital. Our policy is that we usually hedge 60% to 70% of the excess capital, the piece that is not naturally hedged, because we also have in the denominator, as you know, the respective currency, loan book, and so on. So the excess capital, 60% to 70%. In that context, in Mexico, at the moment, we are hedging 56% of the excess capital. And in Turkey, we are hedging 24% of the excess capital. Then we have another set of hedges for P&L, and the P&L hedges go look into the next 12-month profit expectation, and we hedge 40% to 50% as a policy in general. And we change that policy depending on cost of hedging, depending on the environment, and so on. But typically, 40% to 50% of the next 12-month profit is also hedged. And in that context, at the moment, we have 62% hedges for Mexican peso, and we have 30% hedges in Peru, Colombia, and Turkey. You would see that the Turkish numbers are a bit below the typical policy that we have, mainly for the cost of hedging. And as you know, the interest rate and the forward curve and so on, it entails a very high cost to do the hedging. As such, we are slightly lower than our usual policy for Turkey, and we are slightly above in Mexico for the Mexican peso. There is also a dollar sensitivity that the bank has, for you to know. And in this current context, it's very important because we do have in dollar some RWAs, and we don't have equity in dollar too much. That's why we also, for the capital conservation, we also do a dollar hedging. The hedging of that goes through P&L, because accounting rules tell us that it has to go through P&L. So there is that US dollar-euro hedging that we do also in the policy. And then rest of business?
Luisa Bravo : Yes, well, as you know, the rest of business area includes primarily the CAB business that is carried out in the branches that we have in CAB, primarily the European, UK, Asia, and New York, where the, I would say, the more relevant activity comes from CAB Europe and CAB the US on the back of the strategic initiatives that took place already a few years ago of increasing our presence in CAB. And this result of rest of business is quite consistent with the enterprise segment, and particularly the CAB business being a core part of our strategic roadmap going forward. And so what you're seeing here is a strong growth year-on-year on activity. Loans have been growing around 23% year-on-year, boosted, as I said, by CAB, primarily, well, I would say, across the board. And it's been in investment banking and finance, project finance, corporate lending, basically accompanying our clients to these footprints where they want to work. And we're basically going with them in this sense. In this regard, aside from a PLM perspective, aside from this strong growth in activity coming from the development of our strategic initiatives and growth, we have seen NII being a good driver of the rest of business year-on-year, supported by activity but also price management. The activity and the profitability, as already mentioned, of the CAB business is quite high. Fees have also had a remarkable increase year-on-year, also quarter-on-quarter, arising by extraordinary results in investment banking and finance, relevant deals across the different geographies, the typical activity that you would expect. And NTI has been quite remarkable also from global markets' perspective across the different activities. I would highlight that this is more and more driven by recurrent client activity, not by one of transactions. So all-in, I think the gross revenues are highlighting the investments that we've been doing in the business, and we expect that the contribution of the rest of business going forward will continue to increase as these, the strategic initiatives are deployed.
Onur Genc : Very good. Sophie, one final thing, in terms of all, I gave you all the percentages, but the final impact of all of this is the sensitivity in capital, sensitivity of the capital to the currency devaluations. And you have that page -- in page 43, I think. In the backup, there is a clear page which says, after all of this, after all the hedging’s that I just talked to you about, the sensitivity of the Mexican peso is nine basis points. So if there is a devaluation, 10% devaluation in Mexican peso, our CET1 would be reducing by nine basis points. And the same number is four basis points for Turkish lira, and the other way around, plus 17 basis points for dollar. You have it in the details, okay.
Operator: The next question comes from Hugo Cruz from KBW.
Hugo Cruz: Hi, thank you. I just wanted to ask you about Eurozone, NII, mainly Spain. Should we start thinking about yield curve steepness? I think people are still thinking a lot about rates are going to go down, so therefore your NII goes down. But we have steep yield curve, which you haven't had for many years. So as we go a little bit further two, three years out, could we actually see higher NII than we have this year, given that steepness? If you could give any guidance, that would be very helpful. Thank you.
Onur Genc : The steepness would help, Hugo. But the level, the short-term level is also very important, for a single reason. We do all the hedging and so on that we talk to you about from time to time, but most of the lending book that we have in Spain, the reference rate for the repricing of that loan book is short-term. Basically, all the corporate and mid-corporate lending book, the reference is Euribor three months. And for the mortgage book, the reference is Euribor 12 months, independent of the second. We price it properly; we price it based on the duration of the product. But the reference itself is the short-term. So your question of would the NII go up in two, three years? My question back to you is, what is the forecast of not only the curve, but also the different parts of the curve? The steepness helps, as you might have seen this. In the quarter, we have increased our ALCO book by EUR 5 billion in Spain. There was a period, I think it was the beginning of March, no, Luisa? Beginning of March, when the yields have picked up in the long end, and we benefited from that, and we increased the ALCO book. So the steepness helps, and we take some certain strategies out of this. But given the nature of the lending book and the references for the lending book, I wouldn't discard also the level of the short-term rates in the NII calculation.
Operator: The next question comes from Britta Schmidt from Autonomous Research.
Britta Schmidt: Yes, hi there. Thank you for taking my questions. I've got a couple on Mexico. You commented on the Mexican loan goals being primarily short-term lending. How should we think about that in the context of the net interest margin, or shall we assume that this lending still meets your profitability hurdles? I think you also had some severance payments in Mexico. Could you tell us how much that was? And is that an indication maybe of you trying to manage the profitability with a weaker outlook? And then just two clarifications. What is your expectation on the recognition of the Spanish bank tax for 2024 that hasn't been booked yet? What are the discussions there? And maybe just an update on the Sabadell deal and whether or not you've had any recent discussions with the government on this situation. Thank you.
Onur Genc : Very good. The second one I couldn't get. It's about payments. Did you get it, Luisa?
Luisa Bravo : Severance payments.
Onur Genc : Severance payments. Okay, so you have it. Why don’t you do that? On the profitability of the loan book and the short-term, whether we can take it for the coming quarters. Britta, once again, independent of the duration of the loan, short-term, long-term, the product, it doesn't matter. Every single product, every single loan, depending also on the currency, has a threshold to pass. Don't take me wrong. We also invest in clients. We call it exception pools. So you can be below the threshold for a certain period of time, but it has to be a scarce resource, that exception pool. And when you invest in a client in a certain period of time, you still need to get the profitability. Otherwise, that client will be there forever in that exception pool. I'm giving you the details of how we manage this. What I can tell you is that independent of short or long-term, we are making sure that this growth is profitable. Otherwise, it would be then otherwise coming into the exception pool, it would be overpassing the exception pool limits and so on. Quite profitable. The thing that we are not upgrading our activity or NII and maintaining our guidance is, once again, we don't know how sustainable this growth will be in the coming quarters. And the short-term has been really good. And by the way, it continues to be good. And the pipelines are very strong. April numbers are quite strong. But there is a big uncertainty that encircles us, all of us. And we have to see how things pan out. Once again, I'm repeating myself, but it's important that you understand that uncertainty. Regarding the severance payments, you didn't ask it, nobody asked it before. But in the cost number of Mexico, you see a slight jump in the quarterly growth, in the year-over-year growth also, for one single reason. We have been increasing our employee base, as you know quite well, in the last three years. There were a lot of competitive discontinuities in the market. And we wanted to benefit from the fact that we can gain clients, gain market share, gain profitable business when there is that competitive discontinuity. And from time to time, we look into that growth and we do programs. In the first quarter of this year, we have done a program of redundancy or severance. 5% of our employees in Mexico have been affected from this. It was a very normal process. It wasn't like suddenly there is a huge program. No. Based on a periodical review, we do this from time to time, but you do see that in the employee figures in Mexico. It affected around 2,500 people, and so on. As a result of that restructuring program, the severance indemnifications as a cost came into that figure. So this 11 point, if I'm not mistaken, 11.7% that you see in the cost growth of Mexico year-over-year, around 3% of that is driven by that one-off indemnification payments for the severance. And that has led to this figure. Spanish banking tax, Luisa, 2024?
Luisa Bravo : Well, we are waiting to have clarity on the legislation to be applied for the 2024 number and how that will be translated into the definition of the tax, the accounting of the tax, and the payment of the tax. So basically, it's more wait and see, I think, at the moment.
Onur Genc : It's more wait and see. On the Sabadell deal, you are asking for the process. The process, we are at the final stages, as we understand, of the CNMC, the competition authority of Spain, is taking their final decision on the topic. Once that decision is taken, then there is a process of the government and it continues, as we have discussed many times before. There's 15 working days plus potentially 15 days and potentially 30 days of the government after the decision of the CNMC, then the acceptation period will start. But we are in the final stages of the CNMC. We are waiting for the decision to come in the coming days, basically.
Operator: There are no further questions, so I will now hand back to the management team.
Patricia Olalla : So, well, that was the last question. Thank you very much for joining the call and for your questions. We keep in touch, so we are at your disposal for any further questions you may have.
Onur Genc : Thank you, everyone.
Luisa Bravo : Thank you. Thank you very much.